Operator: Welcome to the Wiley John & Sons conference call. Today’s conference is being recorded. Before introducing Will Pesce, President and Chief Executive Officer, I would like to remind you that this discussion will contain forward-looking statements. You should not rely on such statements as actual results may differ materially and are subject to factors that are discussed in detail in the company’s 10-K and 10-Q filings with the SEC. The company does not undertake any obligation to update or revise forward-looking statements to reflect subsequent events or circumstances. Mr. Pesce, please go ahead.
William J. Pesce: Welcome to Wiley's year-end conference call. I am with Ellis Cousens. I’ll provide an overview and then we’ll respond to your questions. Fiscal year 2008 was a transformative year. Wiley's third century began with the largest acquisition in the company’s history. We devoted considerable time and resources to the integration of Blackwell, which affected nearly every colleague, system, policy, and procedure around the world. My colleagues confronted this challenge with the dedication, commitment, and professionalism that distinguishes Wiley. Clearly Blackwell was the highlight of fiscal year 2008 but there is more to this chapter in Wiley's history. We have developed a global organizational structure which represents a major step in the evolution of our company as a global enterprise. We continue to invest in technology, which is enabling new business models and creating new sources of revenue. In a period of transition, we formed new and extended existing relationships with prestigious scholarly societies, prominent franchise partners, and highly regarded authors. And we put record numbers on the scoreboard, despite challenging market conditions. Bolstered by Blackwell, Wiley's revenue reached $1.7 billion in fiscal year 2008. It was $1 billion only two years ago. Operating income reached $223 million and EPS increased $2.17, excluding unusual tax items. Revenue for the year increased 36% over prior year. Blackwell contributed $485 million of revenue to the full year results. Excluding Blackwell, revenue increased 5%. Foreign exchange had a positive effect of approximately 2 percentage points relative to prior year. On a U.S. GAAP basis, EPS was $2.49 compared to $1.71 in the prior year. Excluding various tax benefits, EPS of $2.17 increased by 34% over prior year. Blackwell's performance was accretive to EPS by approximately $0.29 a share, excluding non-recurring tax benefits. Excluding Blackwell and one-time tax benefits, EPS increased by 15%. Fourth quarter revenue increased 11%, or 8% excluding foreign exchange. EPS for the quarter was $0.49 compared to $0.25 in the prior year. Blackwell was included in the fourth quarter of both years. Blackwell exceeded our expectations and was the primary driver of Wiley's strong performance in fiscal year 2008. The acquisition was significantly more accretive to EPS than we anticipated, reflecting the combined effect of operating performance, effective tax planning, and lower interest expense. We are particularly pleased with our ability to attract new society partners while extending existing relationships. Over the course of the year, we added 65 society journals, renewed or extended 74 journals, and lost only three journals to competitors. Wiley's gross margin in fiscal year 2008 of 67.9% was essentially the same as prior year. Excluding Blackwell and unfavorable foreign exchange, operating expenses increased from prior year by only 2%. Free cash flow of $117 million for the year, including discretionary pension contributions in the United States and the U.K. of approximately $48 million -- if you add these discretionary payments back, free cash flow would have been $165 million. During the year, the company repaid debt of $158 million and paid dividends of $26 million. I would like to provide some highlights regarding the performance of our core businesses -- professional trade revenue advanced slightly in fiscal year 2008 to $395 million, Following solid results for the first nine months of the year, our P/T business had a rough finish. The quarter was adversely affected by sluggish market conditions and tight inventory management by key accounts. Frommers.com had a difficult quarter, as several customers delayed or cancelled advertising campaigns. Despite the disappointing finish to the year, the business, psychology, and general interest programs recorded strong results, as did rights in brand licensing. Globally, P/T revenue increased 3% in fiscal year 2008. For the full year, direct contribution to profit for P/T of $111 million improved 4% from prior year. In addition to the top line results, the increase included the effect of a bad debt provision recorded last year and a partial recovery in the current year. Fourth quarter highlights include the publication of the fifth title in the best-selling Little Book series, two firsts from the For Dummies technology list, the inaugural do-it-yourself title and the first book targeted at the over 50 consumer. Previously published titles continued to sell well throughout the quarter, particularly cookbooks and business books focusing on leadership. During the quarter, several P/T books received considerable media and customer attention, as well as being honored with awards. The year was strong for P/T’s digital initiatives, including the launch of the Webster’s New World website and jklasseter.com. Frommers.com included its first sponsored microsite, Family Vacations with Sheraton Hotels, as well as a custom site for Rail Europe and a blog by Arthur Frommer. The What’s On When acquisition performed well. Scientific, technical, and medical revenue in fiscal year 2008 grew 2% over prior year to $235 million. That excludes Blackwell. The year-on-year increase was attributable to moderate journal subscription growth. Advertising and commercial reprints performed below expectations. Results outside the States were better, as reflected in global STM revenue growth for the full year of 6%, again excluding Blackwell. Direct contribution to profit of $114 million was down slightly in fiscal year 2008, reflecting modest top line growth offset by production costs associated with new journals and increased marketing costs. Throughout the year, STM signed agreements to publish journals with several scholarly societies, including expansion of important existing relationships. The Hospitalist, which Wiley publishes with the Society of Hospital Medicine, received two awards from the American Society of Healthcare Publication Editors. Blackwell's revenue and operating income in fiscal year 2008 were $485 million and $63 million respectively. Operating income included $22 million of non-cash amortization charges for intangible assets related to the acquisition. Approximately $21 million of transition and integration related costs were included in operating expenses for the year. Interest costs associated with the financing of the acquisition were approximately $66 million. Blackwell's fourth quarter revenue increased to $138 million from $106 million last year, principally driven by increased journal revenue and back file sales. As expected, the improvement also reflected a purchase accounting adjustment of approximately $16 million that reduced revenue in the fourth quarter of last year. Top line growth for the quarter would have been 15% excluding the effect of this adjustment. Blackwell's operating income in the quarter advanced to $18 million from $6 million last year. Blackwell's results for the quarter were accretive to Wiley's EPS by approximately $0.11 per share, compared with $0.02 per share dilution in the prior year. Several Blackwell publications were highlighted by the media and honored with awards, including 11 awards from the British Medical Association. Blackwell reference online was cited by choice as an outstanding academic resource. Higher education revenue increased 1% in fiscal year 2008 to $165 million. Solid performances by the sciences, business, and accounting programs, Microsoft official academic course books, and translation rights and reprints were offset by backlist attrition in mathematics, engineering, and the social sciences. The year ended on a positive note as revenue for the fourth quarter increased by 15% over prior year, driven primarily by the continued success of WileyPLUS. Globally, higher education revenue increased 5% for the full year. Direct contribution to profit in fiscal year 2008 for higher education advanced 4% to $44 million. Direct contribution was $2 million in the fourth quarter compared to a loss of $3 million in the same period of last year. Revenue growth and prudent expense management contributed to the improvement. WileyPLUS delivered strong results with sales increasing 35% over prior year and digital only sales nearly doubling. Student usage continued to climb sharply, with registered users increasing 10% in the U.S. and more than doubling outside the states. Shortly after the close of the fiscal year, we acquired 27 higher education mathematics and statistics textbooks from Key College Publishing, a division of California based Key Curriculum Press. Wiley Europe’s revenue in fiscal year 2008 increased 10% to $348 million, or 5% after adjusting for the favorable effect of foreign exchange. Top line growth was driven by STM journals and indigenous book publishing programs in P/T and higher education. Direct contribution to profit for the full year of $122 million increased 11% over prior year, or 9% after adjusting for the favorable effect of foreign exchange. Wiley Europe’s fourth quarter revenue increased 16% or 11% after adjusting for the favorable effect of foreign exchange. Direct contribution to profit for the quarter increased 26% over the same period of last year, or 24% excluding favorable foreign exchange. In Europe, P/T had a solid year with For Dummies books, Frommers is building market share in the U.K. travel guide market. P/T continues to diversify into corporate sales and customer publishing. Sales through retail channels in the U.K. and Continental Europe were restrained by sluggish market conditions while the Middle East and Africa experienced strong growth. STM books had a difficult year, partly due to publication delays. In higher education, WileyPLUS gained traction, especially in the Middle East, where a new adoption was won earlier this year in Saudi Arabia. Wiley's fiscal year 2008 revenue in Asia, Australia, and Canada of $155 million increased over prior year by 17%, or 8% excluding the favorable effect of foreign exchange. Growth was driven primarily by strong P/T and STM sales in Asia. Results were tempered by a disappointing year for the school business in Australia and lower P/T sales in Canada. Direct contribution to profit in fiscal year 2008 of $34 million declined 3% after adjusting for foreign exchange. Increased investments in indigenous publishing programs were partially offset by revenue gains. In Asia, fiscal year 2008 offered the first glimpse of the powerful combination of Blackwell and Wiley. Efforts to build Wiley's newest STMS publishing center in Asia while consolidating Wiley and Blackwell operations produced strong revenue growth, especially in Southeast Asia, China and India. P/T was strong across almost all territories in Asia, with the front list performing well in a buoyant retail market. Sell-through was strong in all categories with business and finance leading the way and technology following close behind. Corporate sales, custom publishing, and translation licensing also drove growth. Higher education experienced good results in China, Thailand, Japan, and Indonesia, offset by sluggish markets in Singapore and Taiwan. India delivered strong results. WileyPLUS continued to make inroads throughout Asia. Wiley Australia had mixed results. Higher revenue from the sale of imported P/T and higher education books was partially offset by a weak showing from the indigenous school front list. My esteemed colleague, Peter Donoughue, who is managing director Australia, was honored as one of the inaugural recipients of the Australian Publishers Association George Robertson Service to the Publishing Industry award. And Wiley Australia was once again awarded the federal government’s employer of choice citation for 2008. Wiley Canada experienced considerable success in the higher education channel with a strong revenue gain from WileyPLUS and excellent results from the indigenous publishing program. While several P/T channels performed well, the strength of the Canadian dollar created pricing pressure. Shared services expenses increased 5%, excluding Blackwell and the effect of foreign currency. There were many accomplishments in fiscal year 2008 by our shared services team. Highlights include effective cash management resulting in the pay-down of debt from a peak of $1.2 billion to $842 million at fiscal year end; the migration of Blackwell to Wiley's financial operating systems; the consolidation of book distribution around the world, which has driven service improvements, cost savings, and incremental sales; progress on the critically important online platform; consolidation of facilities; and the harmonization of human resources policies. The past year has been pivotal in so many ways. I am proud of our accomplishments and grateful to our colleagues who persevered through the challenges of sluggish market conditions, intense competition, and the Blackwell integration. As we enter a new fiscal year, we are well-positioned to capitalize on our strengths as Wiley continues its evolution as a global enterprise with a noble mission. Based on fiscal year 2008 results, leading indicators, and market conditions, we expect fiscal year 2009 revenue growth to be in the mid-single-digits and EPS growth of approximately 20%, excluding one-time tax benefits. We expect growth to be stronger in the second half of fiscal 2009. With that as background, we welcome your comments and questions.
Operator: (Operator Instructions) We’ll take our first question from Drew Crum with Stifel Nicolaus.
Drew Crum - Stifel Nicolaus: I wanted to start with Blackwell. Ellis, could you quantify the integration costs expended in fiscal year ’08 and how you see that progressing in fiscal year ’09? And somewhat related to that, and I think I ask this question on every call, but the cost and revenue synergies you guys articulated when you made this transaction, are any of those showing up -- are any of them showing up in the fourth quarter? Thanks.
Ellis E. Cousens: Drew, the integration expense in FY08 was about $21 million. That falls into two buckets. Principally included in that are one-time transition expenses, integration expenses, but there are as part of that some ongoing expenses that relate to integration. An example would be to the extent we integrated finance operations, we eliminated positions let’s say in Oxford, but we may have picked up a few additional positions in Chichester, for example, to take on those activities. Certainly there’s net savings there but there’s ongoing costs associated with that and there was some overlap, so some of that overlap would have been an example of the ongoing transition expense. In terms of what fourth quarter savings, there were some net savings throughout the year. Most of that would have occurred as you would expect in the fourth quarter, given the flow of integration activities. Although again I’d caution that the amount of saving in ’08 net was relatively small. We’re talking about sort of single-digit, low-single-digit millions of savings. The progression into ’09 will be -- I think I’ve noted this before and it may have been you or others who have asked the question, is that by the end of fiscal 2009, so April 30th of 2009, we will have completed substantially all of the integration activities associated with Blackwell into Wiley. We expect then at the end of next year to have a run-rate of savings that is comparable to what we’ve indicated in the past. Our view on that hasn’t changed, so both the timing with which we will realize those savings and ultimately the run-rate of savings that we had originally envisioned in the acquisition still holds true. We’ve seen nothing to dissuade us from any of that. The big integration projects that are yet to come or yet to conclude, although they are well underway and nearing completion would be the platform integration of Synergy into InterScience. That will be completed by the end of this month, so only a couple of weeks away, at which time all of the content that formerly was supported in Synergy will be supported on InterScience. That is by far one of the biggest integration projects that we’ve undertaken as part of the integration of the two businesses. There are a number of related activities around journal fulfillment and so forth that are correlated to that activity, which are also very large projects on the IT side. So those are the two big things left to come. There are a number of important but smaller, less critical integration projects that will occur over the course of ’09.
Drew Crum - Stifel Nicolaus: Of the $21 million that you noted, is that a fair run-rate for fiscal year ’09 or should we see that tick down?
Ellis E. Cousens: No, it should come down -- it should come down, certainly.
Drew Crum - Stifel Nicolaus: Okay, good. And then given the outperformance of Blackwell, has that changed your view in terms of the debt pay-down schedule that you originally anticipated?
Ellis E. Cousens: I think we are a bit ahead of where we originally anticipated in terms of debt pay-down relative to the acquisition plan and the discussions we had back at the time, just before completing the acquisition, which would have been sometime in November I guess now 2006. It seems like quite some time ago, and as you know the acquisition was completed in February of 2007. So the answer is yes, some of the operational benefits, some of the caution we certainly had concerning not having yet closed on an acquisition let alone integrate it and see how it performs in the course of now five quarters, has given us a bit more confidence that we’ll pay down debt a bit more quickly. We certainly have in this past year. We are head of where I thought we would have been. And that in combination with somewhat lower interest rates, you know, give us some confidence. Again, the debt is not paid down solely out of Blackwell free cash flow. As you know, it’s paid down out of all of the cash flow of all of Wiley plus Blackwell.
Drew Crum - Stifel Nicolaus: Right, okay. And then in your press release, you discuss the open access legislation involving NIH and I’m just wondering what that change means for the STM business.
William J. Pesce: As you know, this has been something we’ve been aware of for a long time. What’s actually happened is now it’s legislation and it has been implemented. In terms of changes for the business, I would encourage you to just think about it as we’ve said before as another business model that we have talked about. Some people call it open access. There are lots of terms to describe it but the fact of the matter is we are working cooperatively with the -- our society publishing partners and with our authors to have them comply with the requirements and this particular legislation relates to articles that are based on NIH funded research, so it’s not across the whole body of Wiley's work. And when we talk about another business model, that is that we have various hybrid models out there, something we call, for example, funded access where if someone wants to make their content available and not have a user pay for it, as long as that particular entity, whether it be an author or a society or someone else pays a fee for that to have access to that model, it’s another revenue source for us. So I think the basic point that we would like to make about this is that this is not a surprise to us. We are actively involved in the discussions that led up to this legislation. We felt very strongly that any mandate, particularly by a government agency, must indeed comply with the intellectual property rights of the rights holders, and the rights holders could be a company like Wiley or an author or a society, and we are confident that the NIH will perform in that matter, as we will. And it’s not going to really change anything at all that we are doing. In fact, I think more than anything what it says to me is the work that we started really about a decade ago when we started digitizing our content, when we started looking at revenue sources beyond what made up most of our revenue in the past, and that is -- most of our journal revenue -- through subscriptions. We started opening up other revenue streams, we started making our content more flexible and more available through many different business models, has been serving us quite well, so that it would in fact help us in situations where mandates like this might come into play. So no surprise, very much what we expected. We are complying with it, as you would expect us to, and no material changes to the way we are conducting our business, or our prospects for the business.
Drew Crum - Stifel Nicolaus: Okay, very good. One last question and I’ll jump back in the queue; what type of effective tax rate should we be using for fiscal year ’09? It’s jumped around quite a bit the last couple of quarters.
Ellis E. Cousens: I would say that’s a good question, certainly, one that we endeavor here to sort of forward calculate. As you know, it’s very complicated, given the nature of the location of our businesses. We have substantial earnings and profits in the United States, Germany, the U.K., Asia, Australia, Canada, so the corporate tax rates are quite different. As you know, there’s some movement that we might have discussed, I’m pretty sure we discussed on the last call with respect to -- or maybe even the call before that -- the German tax rate has been reduced. The U.K. tax rate is now a bit lower than it was for fiscal ’08. That was effective at the start of our fiscal year. It just turned out that way. The U.S. tax rate has not moved. Taking all that together and what I’ve described and discussed before with respect to the tax strategy that we applied to the acquisition of Blackwell in the U.K., which is this so-called double dip, which is an effective tax strategy, if you add all of that together we expect that our tax rate will be somewhere around 25% to 27%.
Drew Crum - Stifel Nicolaus: Okay, very good. Thanks, guys.
Operator: We’ll now take our next question from Dave Lewis with J.P. Morgan.
David Lewis - J.P. Morgan: First question, housekeeping also -- Ellis, could you give us a little guidance on the cash flow statement and CapEx for next year, as well as product development costs?
Ellis E. Cousens: The 10-K will be published next week, I think the 26th. I would rather you wait until then. There’s nothing really -- not to sort of have here and disclose this, but I’m not sure quite frankly if I say it on this call if I need to file an 8-K, quite frankly. So if I could ask you to be patient for a week, it will be available next week.
David Lewis - J.P. Morgan: Okay.
Ellis E. Cousens: In terms of cash flow, as you know, we have not in the past and don’t intend to now provide specific guidance on cash flow, other than sort of the generalized question that Drew asked earlier that I answered in terms of operating performance and pay down of debt.
David Lewis - J.P. Morgan: Okay, terrific. The next question I have is what percentage of the cost synergies that you guys are guiding are coming from offshoring?
Ellis E. Cousens: It’s difficult. I can’t say that I have actually analyzed it that way. I can tell you there’s certainly a fair amount of it. Our journal production is one of the major initiatives in terms of the integration and cost savings is offshoring journal production into an entity that Blackwell had started in Singapore, and we’ve extended that to include not just continuing what was Blackwell -- what Blackwell was looking to accomplish but also with respect to Wiley's journals. So that’s an initiative that will generate a substantial amount of savings over time. I can’t exactly tell you or pull out of production exactly what that number is. That’s an element of it. There may be other smaller components coming from areas like paper purchasing and manufacturing, in terms of combined purchasing and manufacturing activity. So it’s not a dimension across we [inaudible], but I can tell you the savings that are implicit in what we’ve described in terms of what we’ve accomplished so far and initially with the acquisition plan, we’re achieving those and it’s in the millions of dollars but I can’t specifically tell you quite frankly if it’s a quarter, a third, a half, or anything like that, unfortunately.
William J. Pesce: I would like to add to what Ellis said. Again, it is difficult to get our arms around a specific number there and there are a few reasons. One is, just for clarification, Wiley was doing some of this prior to the Blackwell acquisition, so some of this gets kind of mixed between things we would have been doing anyway and things that we are going to be doing either faster or more of as a result of the acquisition. The fact of the matter is we were doing this before with our journals and Blackwell was doing it before with its journals. I would say relatively speaking they were doing more of it and so we’ve now taken the total collection and accelerated that, which obviously is going to bring economic benefit across the board. But I also want to mention to you, because I think it’s beneficial to you and the others on the call, that when you talk about offshoring, I can understand the emphasis on journals, and it’s totally appropriate. I just want you also to know that we’ve done quite a bit of this in other areas and specifically our book publishing programs have been -- had a positive effect from some of the work that we’ve been doing over the last several years, involving composition services and printing. And frankly one of the things that I’m quite proud of with this leadership team is that when we need to find -- when we have other investment opportunities, like for example in enabling technology, we can look at that as an incremental investment, an opportunity to spend more money. And indeed it is, but what we put upon ourselves is the rigor of looking at opportunities to save money in other places so that we can finance these new initiatives, and that’s how you get the kind of margins that we have in this business, and you haven’t seen a deterioration in, is that we’re finding savings in kind of the core print on paper business which is helping to finance the evolving technology business and helping us open up these new revenue streams. And that’s a powerful combination. That’s been going on for some time. And all that’s happening now with the Blackwell acquisition is we are accelerating it in certain areas.
David Lewis - J.P. Morgan: Okay, good. Just on quick follow-up and then I’ll move on -- are you guys, it doesn’t seem like it based upon the 2% I think pro forma operating cost growth and it was very strong last quarter as well, I believe, but are you seeing any impact from inflation, either in human capital and outsourcing or on paper? Or do you expect to see it going forward?
Ellis E. Cousens: Thus far in terms of what we can see forward into ’09 and our existing plans, we don’t see any significant pressure with respect to those things. Of course, the plans are constructed now as we said, and inflation pressures seem to be building more recently, so the good news in part of that is that most of our costs outside of cost of sales are related to human beings and individuals. And for the most part, those people, those colleagues are already employed within the company. Their compensation plans are laid out for at least the coming year or so, so there is a certain degree of stability with respect to the in-place workforce. With respect to paper, that’s a marketplace that has continued to go through turmoil of supply consolidation and other kinds of activities. We manage our paper purchasing very carefully. We have terrific relationships with supply vendors. We manage multiple vendors to get the best deal in the marketplace on a global basis, so we don’t sort of focus on a single vendor or a single location in the marketplace. We actually purchase paper on a global basis to meet our needs. We are also capable of switching amongst different grades and qualities and types of paper to be able to meet our needs as well. So given the level of flexibility that we have, we have not had significant increases in paper costs ahead of things like other costs generally or revenue certainly. So as of -- as we sit today, we don’t see any significant pressure coming outside of what we would have seen let’s say in the past year.
David Lewis - J.P. Morgan: Okay, that’s great. Thanks, Ellis. I wanted to just touch on the professional and trade segment and the softness we saw in the two months in 4Q. I know you guys are constantly in scenario analysis, trying to anticipate changes in industry but are the challenges the booksellers are experiencing right now, or is the online shift in content, the Kindle I guess the last -- there is very little data out with the Kindle but I guess I saw in the Journal a couple of weeks ago, there’s 125,000 book titles. Are either of those two trends forcing you to shift your strategy for that segment? Or accelerate or change the strategy for that segment?
William J. Pesce: A couple of things, and let me specifically make a couple of additional comments about the quarter and then I’ll get more strategic with you about how we see things unfolding. As you know, based on nine-month results, our professional trade business is having a terrific year, and we were really all teed up, frankly, to finish out the fiscal year in very good shape. And we ran into a wall, frankly, in a couple of months of the last quarter. And it was primarily in one account but not exclusively in one account. And in the one account that we experienced, we had a significant year-on-year decline, quarter to quarter, fourth quarter last fiscal year, fourth quarter fiscal year ’08. And it did come upon us and others in the industry quite suddenly. In some of the other major accounts, we also experienced smaller volumes of reorders than we had anticipated. We were tracking, even when that was happening through the end of the fiscal year our sell-through, as documented by various information sources that we have, our sell-through ultimately to end users was actually pretty good. So it seems at first at least to be mainly an inventory correct, primarily at one account but also at some others. What I think is fair to say is it was primarily that, but not exclusively that. And there are a couple of other factors that I think you could attribute to general market conditions in the book-selling industry and in our economy generally that affected this, and there were certain categories of publishing that we are in that were affected a little bit more than others. I mean, for example, the travel industry right now is going through a difficult time, whether you are in the hotel business, the airline business, or if you are in the travel guide business. Frommers is the number one travel guide in North America, and we did not have a good fourth quarter. In addition, you have spoken with enthusiasm, and I continue to be enthusiastic about the development of frommers.com, taking a print on paper brand and expanding its reach and capabilities through investments and enabling technology. The good news is we’ve done that. We’ve opened up revenue streams. The negative in the last few months is that the revenue we get there is advertising related, and it’s more volatile than some other revenue sources that Wiley has. And so frommers.com did not have a good fourth quarter on the advertising side of things. In terms of our publishing strategies -- and you are right. Thank you for remembering that we do believe in scenario planning and we do look at the world and we don’t try to predict one future. We try to look at many different futures and how we could put robust strategies in place, so that we can continue to thrive no matter what the conditions are out there. You will still sometimes get short-term bumps in the road. When I made reference that I expect, or fiscal year ’09 results to be stronger in the second half than in the first half, that is really reference to our -- mainly to our professional trade business and our belief that at least one of our accounts still has some sorting out to do. I think some of this inventory management stuff will continue for a while. I think some of the sluggishness in the economy in the first half of the year may have an effect on that. I’m not expecting advertising, where we have it -- it’s not a huge part of that business but it’s there -- will continue to be modest, at best. But we are expecting that that will recover in the second half. And the publishing strategy, we really believe -- we are, as you know, in our professional trade business a very focused publisher. We don’t publish fiction. We are very committed to the categories that we publish in. We are building these brands and launching them into global markets. We are as committed as ever to the areas we are in. We think it’s a really nice blend of consumer level oriented publishing as well as the professional publishing. But from time to time, you are going to have some blips like this and it’s up to us as leaders and with a diverse business that has STMS, higher ed, and professional trade in the States and around the world, to kind of balance all that together. So no change in strategy or approach. We are going to be careful on the spending side in the beginning of the year until we can kind of sort how things are going out, but we gave you guidance and for us to give you that kind of guidance of mid-single-digit revenue growth, 20% approximately of EPS growth means that we know what happened in the fourth quarter and we believe that we will work our way through this.
David Lewis - J.P. Morgan: That’s great. Just one more for me and I’ll jump back on the queue -- can you talk about -- can you give us a sense for the upside that you see when the online platform for STM is combined? Because I know you guys the past -- really I guess four to five years were very successful with that with the legacy business. And so combined business, bigger offering, I’m just curious to hear your thoughts on that beginning in July, number one. And then the second question related to STM is are you starting to see the 60 journals that were picked up over the course of the past year, the timing of that is now for many of them kicking in, in terms of the revenue add. I know that there was -- the sales cycle was beginning I believe the beginning of this calendar year. Is that accurate, Will?
William J. Pesce: A couple of things; first on the societies that we are signing up, we mainly start getting the benefit of that in calendar year 2009, so it’s the last few months of fiscal year 2009. So there will be some benefit in fiscal year ’09 but not for a majority of the year. Those deals are on a calendar year basis. So that’s a -- when I say a leading indicator, well, it’s leading in the sense that it’s not current but on the other hand, we’ll get some pick-up this year but it’s mainly to give you a very strong indication that our numbers will not happen if we don’t continue to have outstanding relationships with the societies and the authors and the partners that we work with, and this is really a very powerful leading indicator, end of 2009 fiscal year and going forward. Regarding your question about platform, the main benefits, and this was a part of the strategic rationale for the acquisition in the first place is the fundamental belief that if you take these two entities, Blackwell and the former Wiley STM, and you put them together, that collection of content and those relationships with societies and authors we felt would really put us in the top tier of companies providing must-have content to those communities. There’s some new areas that Blackwell brought to us but there were also areas where Wiley was already a strong presence and it allowed us to deepen our commitment to those communities. So now you have all that content and the power of enabling technology is what are we really trying to do with this technology investment? Two things -- one is trying to make that content more discoverable, meaning that you can do more with it. You can go to it, it’s more dynamic, it’s not just reading printed words on a piece of paper. So if it’s more discoverable, it should have over the long-term a positive effect on the productivity of research for the people who use these materials. That’s serving customers better. In addition, our belief is that the enabling technology will help us provide more access to more content by more people than ever before, so there’s an accessibility thing here. That’s one of the things, not to bring back another question but it is all related -- we’ll be fine. The NIH and their mandates and all of this, we don’t see a need for mandates. You know, if we were just sitting back leading the business like the business was 10 or 15 years ago, that would be one thing. Our company and other companies have invested millions and millions of dollars in enabling technology to serve authors and customers and society partners better, and we’ll do it better than any government agency ever will, and we are committed to doing that. So the enabling platform in technology will help us do that. So our customers will have easier access to more content that is more discoverable. So the platform will have that value, which over time you’d hope would generate incremental revenue and help us not only penetrate markets and find readers who perhaps did not have access to that information before, but I can tell you now for 10 years, every time we’ve made investments in enabling technology to try to realize a particular business goal, it opens up something we didn’t see before. That’s the very nature of having the capability, the very idea that you learn more about your customers in terms of how they use the information opens up opportunities for you to deliver another product or another service. It’s hard for me to say it’s going to be this specific thing or that specific thing, but I can tell you we have now a decade long history of exactly what I just described. Last but not least, if Blackwell was an independent company and Wiley was off doing its thing, each company would have gone off to invest money in an online platform. Bringing them together, we’ll spend more than either one could have done alone but we’ll spend less than the two companies would have together, so we would have improved our -- call it the productivity, if you will, of our technology investment. And last but not least, I think I probably just said that twice but I just want to give you some clarity about what’s happening in June and then what’s going to happen after that. What’s happening in June is we are taking all of Blackwell's content off of Synergy and put it into Wiley InterScience. The advantage of that is we’ll be able to go to our customers and offer the complete collection on one platform. That is an advantage. It takes care of some of the administrative burden of doing that and makes it easy for our sales force to have meaningful conversations with our customers. After that, we are going back on the track of what enhancements are needed to make this platform as customer friendly as possible? What investments in our future should we be making to make it a really state-of-the-art kind of best practices, if you will, platform? And that’s an ongoing -- that’s not a project with a beginning, a middle, and an end. That’s a way of life, as I like to say. We will have some deliverables on that before the end of the fiscal year ’09 but I don’t want to give you the impression that there’s a hard stop on that, that okay, we did it, we’re done, we don’t have to invest again. So it’s just a two-tiered approach. Let’s get all the content on first; then after that, let’s take the investments to make it even better.
David Lewis - J.P. Morgan: Thanks, guys.
Operator: (Operator Instructions) We’ll take our next question from Alan [Zeigler] with First Manhattan.
Alan Zeigler - First Manhattan: Great job. Just one housekeeping and one macro; the 20% EPS growth that you talked about, I just want to be clear -- what is the number that you are working off of? I presume it’s the U.S. GAAP number. Is that correct?
Ellis E. Cousens: Yes, off the 2.17. The 2.17, it’s excluding the unusual tax benefit, which we exclude. So if you look at the earnings release, which I can --
Alan Zeigler - First Manhattan: I’m just reading, it says “On the U.S. GAAP basis, earnings per share were $2.49.” So when you are saying 20%, you are not going off 2.49, you’re going off 2.17?
Ellis E. Cousens: No, there’s a line called adjusted income per diluted share, which says 2.17, so it’s that line is the base off of which we are providing guidance.
Alan Zeigler - First Manhattan: Okay, all right. And when you talk about non-recurring tax benefits, I understand what happened before this year because of the integration of Blackwell, but what -- just so that I understand, what is it that you have in your head that could possibly be occurring going forward? I mean, it just seems difficult to figure out what the government has in mind going forward.
Ellis E. Cousens: So what I’m talking about is excluding the recurring -- non-recurring tax benefit that occurred in FY08, which is what gets us to the 2.17. If -- I don’t know of anything, but if someone comes up with something somewhere, it doesn’t have to be the U.S., that one was generated out of the U.K., in fact.
Alan Zeigler - First Manhattan: Right, okay.
Ellis E. Cousens: So I’m just simply saying that we like to exclude those because on the one hand, as that one is, it’s non-cash, so it provides no real net cash benefits to the shareholders or to the company, so we like to look at things on an apples-to-apples basis, all other things being equal. So we exclude those in terms of our guidance and we try to then provide ongoing dialog on these quarterly calls with respect to our guidance on the same basis.
Alan Zeigler - First Manhattan: No, I understand that, but so --
Ellis E. Cousens: So I’m not reading anything more into that, other than --
Alan Zeigler - First Manhattan: Right, so the tax rate year over year excluding that, shall we call it one-time benefit, should be relatively similar is what you are --
Ellis E. Cousens: Well, it’s the 25% to 27% that I responded to -- I think Drew had asked the question.
Alan Zeigler - First Manhattan: Right, so that’s about what you are looking at year over year.
Ellis E. Cousens: Exactly -- well, that’s what I’m looking as the FY09 effective tax rate for the full year.
Alan Zeigler - First Manhattan: For the full -- I understand that. And that would compare with -- what tax rate did you actually have in ’08? I mean, I don’t have the figure in front of me, as you explain it.
Ellis E. Cousens: Well, in FY08 we had a consolidated tax rate of about -- I’m looking myself now. I’m on a different page here, sorry.
William J. Pesce: Why don’t you, Alan, ask your macro question --
Alan Zeigler - First Manhattan: Okay. My macro question is about China, Wiley, and Blackwell, just in terms of looking at mixing up the two companies and what effect that would have in China and Asia, just because you are still representing Blackwell with standalone, which I’m sure by now there’s probably a lot of synergy going on but I’m just curious as to how going forward those two businesses are going to work in some of the emerging countries, notwithstanding that you are breaking it out separately on your P&L.
William J. Pesce: The breaking out separately part will end with this report, because as you would expect, since we are putting this company, these companies together and they will be fully integrated. We’ll talk about our business in the future as one business and that’s I assume what you would expect of us. And the other reference that I made earlier, having to do with global leadership and all that, which is this ongoing evolution, is that we are going to also be talking with you in the future more and more about Wiley's businesses globally as opposed to U.S. STM, U.S. P/T, U.S. higher ed. We really feel that with all the investments we’ve been making, with the breaking down of geographic boundaries, with the enabling technology we can give you a much clearer representation of how the business is going to be functioning on a global basis. So there will be more clarity about that as we move through fiscal year ’09 and as it relates to Blackwell and Wiley in China, but I’d like, if you don’t mind, just talk more broadly about Asia because this goes beyond China. I made reference to ’08 already giving us this kind of initial glimpse of the power of these two companies together. Blackwell had a much stronger presence in terms of its publishing operations in that part of the world than Wiley. We were beginning the development of a Wiley STM publishing center in Asia. The acquisition of Blackwell accelerated that by years, in my opinion. It’s going to make a significant difference. In terms of what are we looking to do here, one way to grow in that region is to publish more content from authors who are located in that region, and that’s -- as a truly global business, it’s not only selling content that’s maybe created in North America or Europe, but it’s also having content developed there for global markets. And so you are going to see a pretty significant ramp-up of those activities as a result of this powerful combination. The other thing is that Wiley for years now, a credit to a number of my colleagues, most notably Steve Smith who I recall when we first met and started talking about Wiley's presence in that part of the world, Wiley has really developed a very strong sales and marketing capability in Asia. And I can tell you that just by merely taking the Blackwell book publishing program and putting it into Wiley's distribution operations and sales and marketing network in Asia, we are already generating incremental units with the same books, just by putting it through the Wiley sales and marketing capability here. So what’s the point? You are going to see more content originating out of Asia as a result of this combination. You are going to see a much more powerful combination of sales and marketing capabilities in Asia. Asia had a terrific year in ’08. We were very bullish on the prospects. Yes, indeed, China is a part of this but it would be wrong of any of us to just talk about that. We’re having great success in India, to pick another example. There are several opportunities out there emerging for us. So this was one of the main reasons for the acquisition in the first place and the early indications are that our assumptions were right on target, and so you’ll be hearing more and more about this as it unfolds.
Ellis E. Cousens: And Alan, sorry, just the answer to your question, the effective rate this year was about 20, a little over 20%.
Alan Zeigler - First Manhattan: Okay, so it’s actually going to be up a little bit?
Ellis E. Cousens: Yeah. I mean, it’s a combination of sort of lower U.S. income this year versus what’s sort of in the plans that we’ve constructed for the coming year. There’s certain sort of minor one-time tax benefits from settlement of open audit positions, and then certainly just again to the first point, kind of a mix of profits. As you probably know, the differential between U.S. corporate income tax rates and those in Germany and the U.K., are the two areas of principal generation of profits, are quite different now so that will drive some of that, those --
Alan Zeigler - First Manhattan: But nobody makes any profits in the U.S. anymore, so you don’t have to worry about that.
Ellis E. Cousens: We do.
Alan Zeigler - First Manhattan: Just a little sidebar there.
Ellis E. Cousens: Yeah, okay. Thanks very much.
Alan Zeigler - First Manhattan: Okay, thanks.
Operator: We’ll now take our next question from Mark Lawrence with [Tinedal] Management.
Mark Lawrence - Tinedal Management: I was wondering, you gave guidance for 2009 of EPS growth of 20%. Can you give us some idea of what the operating income growth is likely to be? It’s hard to separate the deleveraging and tax movement from the actual performance of the businesses.
Ellis E. Cousens: Mark, we don’t actually do that but I think actually if I kind of just take you through it a little bit, it might be helpful. If you think about the tax rate that I just provided, so here’s what I would do -- I would start with $2.17. I would apply something like 20% to it, and then I would kind of work my way up the P&L. You’d come up with a pretax income based upon a number of shares. The number of shares will grow a bit, as you would imagine. We are not actively engaged in the share repurchase program just now, although the opportunity is still there. So shares will accrete a little bit. And then you apply the tax rate that I just provided, and I think if you do a year-on-year comparison, that will give you an indication of what you are looking for.
Mark Lawrence - Tinedal Management: Well, the only thing missing is a debt pay down.
Ellis E. Cousens: Yeah, and again we paid down a certain amount of debt this year, as you may or may not know. A fair amount of our debt is swapped to fixed, so you can essentially take average debt year-on-year, make an assumption about the debt pay down, which cannot be -- you know, you can make an assumption I think pretty clearly on that. You won’t be off by that much. And I imagine the interest will not fluctuate very much because a fair amount of the debt is swapped to fixed.
Mark Lawrence - Tinedal Management: Right. And then I have another clarification, yet another tax question -- the 25% to 27% is the tax rate for next year. There was an issue with the intangibles from the acquisition not being deductible for tax purposes and I was wondering, would the cash tax rate next year be in excess of the 25% to 27%?
Ellis E. Cousens: That’s a very good question, and I would say the tax rate -- our cash tax rate now is very close and approaches our effective book rate. That wasn’t the case, to your point, in the past. Our cash tax rate was significantly lower. With the Blackwell acquisition, as you know, we purchased stock on a carryover basis, so essentially I think for cash and book tax rate, you should use about the same number.
Mark Lawrence - Tinedal Management: And then regarding the business, the STM business in the United States, I guess, would it be fair to say that your journal business grew in excess of the 2% overall growth and the books and the other revenues declined? If that’s true, can you give us some idea as to the growth of the subscription journal business in the United States?
William J. Pesce: I don’t think actually you should make that assumption, so when you look at that growth for the full year, you should assume that the subscription revenue on what we call U.S. STM really approximated that total growth. It wasn’t materially different from that, and so it might cause you to say well, is there a problem there, is this something to be concerned about? It’s another reason why I feel very strongly about this evolution I keep talking about or looking at that business on a global basis. So when we say U.S. STM, you are basically talking about journals that are published in the United States. And one of the characteristics of, it happens to be, of our -- so we publish journals in the United States, in the U.K., in Germany and now, as a result of the Blackwell acquisition, in Asia. So we have four major publishing centers. So when we talk about U.S. STM, there’s journal and books and we are talking about the U.S. journal portfolio, that it happens to originate here for global markets. And it just so happens that the make-up of that list is that we have some of our oldest journals, and when I say oldest, I mean exactly that -- years of publication. And we also have the effect that those were the journals when we first launched Wiley InterScience that we were most successful in getting penetration into the -- with these institutional licenses that we’ve been signing. So the growth of our older journals has slowed down, relative to the growth of just about every other journal wherever it is published. And it just looks more -- it’s disproportionate in the United States and I don’t think really reflects, it certainly doesn’t for me, any concern about the business long-term. The second thing I would say about that, that is a relevant statement year to year to year, is as a result of the penetration, particularly with those journals on these license deals, if you go back over the last three to four years, you are going to see probably growth in U.S. STM of 6% and 7% for year, that just slowed down a little bit on those journals. Again, it reflects the penetration that we got there. It doesn’t mean that we are going to forever grow at that percent with that particular part of the portfolio. It just means at this particular point in time, given those license arrangements and the percentage of the total license that they represented, that’s what happened. We did grow faster globally. The other effect that happened in fiscal year 2008 has to do with advertising, which was below our expectations. We do sell advertising to the pharmaceutical industry. Again, it doesn’t mean it was down year-on-year, but it just means it was below our expectations. We sell commercial reprints to corporate accounts. That market was sluggish. I can definitely attribute that to what was going on in the pharmaceutical industry and some of their issues. I will repeat that if you look at other parts of Wiley's and the comments I made about our STM business around the world, the growth outside the United States was better than the growth in the states for this particular year that just ended, and I would repeat what I said earlier -- we would not be able to give you guidance of mid-single-digit revenue growth for Wiley globally if we weren’t expecting our global STMS business to grow at approximately that rate. I mean, it’s such a big part of our business. So we are hopeful that some of the advertising revenue will come back. Again, that may be a little bit later in the fiscal year but we surely feel that if you take our collection of journals, our book programs, some of the electronic initiatives we have, we should have solid growth across our global STMS business in fiscal year ’09.
Mark Lawrence - Tinedal Management: Thank you very much. I have one last question; it wasn’t quite clear to me on the integration expenses of $21 million as to the P&L effect in 2008 fiscal year. Was it basically zero that you had some benefits, since interviews that you picked up along the way and they sort of netted out to no effect? Or was there an actual drag on your reported income for FY08?
Ellis E. Cousens: The answer is it netted out to about zero, but there was a slight benefit, a couple million.
Mark Lawrence - Tinedal Management: Okay. Great, thank you very much.
Operator: We’ll now take our next question from John [Helmer] with Caldwell Securities.
John Helmer - Caldwell Securities: Will, I realize we’re pretty close to the end of this call and I don’t want to raise a whole new long subject, but I have a macro macro question here -- the Internet has clearly hurt the newspaper industry. I can’t remember the last time I looked up something in an encyclopedia. I know you have embraced the Internet, it clearly hasn’t hurt you so far but how are you -- how does what Wiley is doing differ from, for instance, the newspaper publishing industry?
William J. Pesce: I’m going to try to be diplomatic about this, but I don’t think what we do and the newspaper industry should be in the same sentence. It is publishing, for sure, but that’s where that story begins and ends, so I would rather just focus on what we are doing. And I made reference earlier that about 10 years ago, we really started ramping up on investments in technology, and particularly efforts to have the web, if you will, help us serve our customers better. And I can tell you that it has been one of the primary sources of growth in our business and I am as excited today 10 years later as I was 10 years ago when we first started making those investments. And the reason I’m as excited today is that as I mentioned to you earlier, the technology investments we have made have been -- you know, they are not investments for technology’s sake. They are investments to enable us to do things that we couldn’t do in a print and paper world. So our content is more flexible. We can customize it to the needs of what our customers are looking for. We can deliver it more efficiently. We can make it more discoverable and when I keep saying that, I think it’s pretty obvious what I’m talking about, is that the reason the STM business moved in that direction first is it’s primarily a research business. So if you can have people go online and search across several issues of several journals, it’s a lot easier to do that at your desktop than it is to go to the library and get another issue of a journal. But what I am talking about is not just restricted to journals. Our professional trade business was almost exclusively -- in fact, it was exclusively a print on paper business. I often talk about the Frommers travel guides, number one travel guide business in North America -- frommers.com has opened up entirely new revenue streams for us, which has contributed to the growth. And we are not done yet. In addition to the revenue streams, it’s helped us promote the brand in the United States and abroad. By having technology capabilities, we can have Arthur Frommer do a blog. What does that do? It provides information to customers who are interested in what he has to say but also reinforces the brand. Typically what happens is we engage with our customers that way in an online environment, they go to the bookstore, they go to an online retailer and they buy the book. So in our higher education business, I don’t know, John, how many of these calls you’ve participated in but so many of you have heard me talk with passion and conviction that enabling technology will have a significant effect over the long-term on our higher education business. WileyPLUS is the most successful new product launch we’ve had in the history of our higher education business, and the reason it is successful is we are providing more for less. The price of WileyPLUS to the ultimate consumer, the student, is far less than a traditional textbook and we are able to deliver more value because it is interactive. We give resources to the professor as well that helps them do quizzing, or testing, and also classroom management. For the student, they can do tutorials, if they have a problem with a particular issue. You can customize this so it accommodates individual learning styles, and it’s priced less than the textbook because there, we don’t have the physical cost of putting in our warehouse the book itself, shipping it out, having 27% or 25% come back in the form of returns. You don’t have the used book market, et cetera, et cetera, et cetera. So it’s not one area -- enabling technology is helping us develop more content, more flexible business models, helping us reach our customers in ways that we couldn’t before, and creating a much more dynamic and interactive process with our users. We actually have -- we hired someone. I think this is like a milestone for our company, who is doing nothing but monitoring, assessing, and helping to improve the user experience with our services. Well, that’s a real statement about what we are able to do with the technology and how much more connected we are to the people who are actually reading our material. So I think if you want to contrast what’s happened at our company and you want to think about it in the context of newspapers, or if you want to think of it in the context of the recorded music industry, think about it as a company that said it’s not either/or. Where print works, let’s give it to them. This is not a threat. It’s an opportunity. How can we bring value to our customer? How can we improve the value proposition and once we’ve done that, let’s take it to the proverbial next level. And it’s that dynamic process that we were willing to accept from day one that I think some companies and other segments of publishing or other industries, broadly speaking, did not take advantage of. And I’m genuinely excited, plus I have even more confidence now because we have experience with it. You know, 10 years ago, we were just starting. We’ve been living in this world. It is our way of life.
John Helmer - Caldwell Securities: That’s great, Will. Thank you.
William J. Pesce: You’re welcome.
Operator: We’ll now take our final question from Dave Lewis with J.P. Morgan.
David Lewis - J.P. Morgan: Just a real quick one -- percentage of revenue from advertising, low single digits?
Ellis E. Cousens: I’m going to have to get back to you on that, Dave. I don’t really have that at my fingertips.
William J. Pesce: You know, the reason I think we’re going to hesitate a little because if you put Blackwell in there, I’m not sure we can quote a number with confidence. We don’t have our arms around that. But it’s -- do you have it in your notes there, Ellis, with Blackwell?
Ellis E. Cousens: I’m going to have to get back to you.
William J. Pesce: We’ll have to get back to you. I mean, look, it’s not lost in the rounding but you know, it’s -- let’s wait until we get the specific number.
David Lewis - J.P. Morgan: Thanks, guys.
Operator: That concludes the question-and-answer session today. At this time, Mr. Pesce, I will turn the conference back over to you for any additional or closing remarks.
William J. Pesce: Thank you very much for your continued interest and support, and I would like to say that in addition to reporting record revenue and earnings, we just also had a record in terms of the participation and duration of any conference call we’ve ever had with Wiley investors, and I see that as a very positive statement. So thank you all very much for your questions and your interest and we look forward to speaking with you again after the first quarter. Thank you very much.
Operator: That does conclude today’s presentation. Thank you for your participation. You may now disconnect your lines.